Roisin Currie: Good morning, and welcome to those of you in the room. Nice to see a lot of familiar faces, and welcome to those of you who are watching online. So the agenda today will be in the usual format. I will provide an overview of the results we've announced today, along with some key highlights, and then I'll hand over to Richard to take us through the financial performance in more detail, and I'll then take you through our strategic progress and finish with the outlook for the year before I take your questions. So we continue to make progress despite the challenging market conditions, as you can see from the numbers on the slide. As you can see, total sales growth for full year '25 is just under 7%, and that includes 2.4% on a like-for-like growth for company-managed shops and not on the slide, but it's also 4.3% for our franchise shops. Underlying operating profit and underlying PBT are both in line with expectations. With operating cash inflow, 4% -- 4.5% higher than 2024, and we are proposing an ordinary dividend of 69p, in line with the year before. Operating cash generation remains robust and will build further in the coming years, with CapEx also stepping back from its peak in 2025. This provides significant capacity for additional returns to shareholders, which Richard will provide more detail on in a few minutes. So we are outperforming the market. So just to spend a couple of minutes on our performance versus the market. I'm pleased to say that the recent data from Circana to the end of December 2025 shows that we have increased our market share of visits by 0.5 percentage points to 8.6% at a time when the overall market visits have declined by just over 3%. Pressure on income does continue to be the main driver and convenience for the consumer remains the priority with location access and channel flexibility critical. There is some evidence of dietary trends, but that is a relatively small factor. The breadth of appeal we have alongside our value credentials and the continued innovation in the business focused on menu, value and convenience alongside the strength of our vertical integration ensures our resilience when market conditions are challenging, but also remains our formula for our long-term success. So I will now welcome Richard to talk about the financial performance in detail.
Richard Hutton: Great. Thank you, Roisin, and good morning, everybody. I'll start with Slide 6, which just gives you the high-level overview of the profit in the business over the last year. So you can see sales up almost 7%. We did have the reduction of 4% in operating profit and 9.4% at the PBT level. And as we highlighted back in January, we've pulled out a small exceptional item, which relates to an understatement of VAT, which we self-identified but goes back a number of years. So in reporting these results, we pulled out the element that relates to prior years so as not to distort the 2025 number. So that gives you an underlying PBT and then the full PBT for the year of GBP 167 million. The income tax charge, we'll show you later, slightly higher than normal, which I'll explain, which gives an impact on diluted earnings per share, which were down 10.7% and we'll get into some of the ratios behind that in just a moment. But first, on Slide 7, we'll dive into the segmental analysis of sales. So we segment our sales into those from company-managed shops and those that are through the business-to-business channel, which is primarily relationships with our franchise partners that get us into locations we couldn't otherwise reach. It also includes grocery channel development in the B2B channel, which obviously has moved on slightly in the last year as we launched with Tesco, a small range with Tesco back in September. But most of the progress here relates to the addition of shops and like-for-like growth through the B2B channel. So underlying each of those, as Roisin has already said, we've got 2.4% like-for-like through the company-managed shop channel and another 4.3% like-for-like growth through franchise system sales. You can see the overall rate of growth in the B2B channel is slightly higher. That partly reflects that like-for-like position. but also the proportion of shops we're opening through franchise relationships is about 1/3 of our net openings. So as a proportion of the base, it's a faster rate of growth in that channel. And if we look on Slide 8 at the relative performance of Greggs, I mean, Machine has already flagged to you that we've taken a significant amount of share in the last year. This tracks one of the benchmarks that we've pulled out to give us a feel for how Greggs has performed versus the overall food to go segment. And the yellow line on this chart is the Barclaycard data that they publish for the eating and drinking out-of-home segment. So that's all retailers who are identified as being -- serving the eating or drinking out of home. And you can see that Greggs' like-for-like performance, the dashed blue line, tracks that quite closely. So our like-for-like performance has been broadly in line with the market. But we've significantly outperformed the market through the growth in our new stores and the addition of extra channels such as grocery. So total sales growth significantly ahead of the market on that measure. Turning to Slide 9. The ratio analysis of the P&L here reflects some of the volume pressure and also the investment in the year, which will benefit us in future years. So if we work our way down, you can see at the gross margin level, a relatively stable position. We saw a more balanced position between cost and price inflation last year and a smaller amount of dilution from the increased participation rate in our app as people take advantage of the discounts available for shopping more frequently with us. In distribution and selling costs, that's where you see the sort of more of the operational gearing in the business. So there's a couple of things there. The volume impact last year has a gearing effect in terms of the fixed costs such as rent on the shop, but also the recovery of wage cost inflation. There's a slight under recovery there because wages were one of the most inflationary elements last year, which I'll come on and show you in a minute. So some dilution there on the ratio. And then we see the opposite effect in admin expenses, where we've controlled the overhead in the business well, and that gets leveraged more heavily as we grow the estate and spread it more thinly. So overall, underlying operating profit down by 1% in margin terms. And then you see an increase in the net finance expense. The primary driver of that is that in 2024, we were holding a lot of cash on deposit, which we've subsequently been deploying into the investment program. We obviously haven't enjoyed the interest coming in on those cash deposits in the current year. And then at the very bottom there, you can see return on capital employed, which is one of the key things that we focus on as a business. The ROCE for 2025 was 16%. That reflects the investment in capital employed as we've deployed cash into the program of capital expenditure that we will update you on in just a second. But obviously, the top line performance as well. Now we've talked in the past about that we believe 20% is a good long-term estimate for what we believe Greggs should be able to deliver. We still believe in that, and I'll describe to you in just a few moments our thoughts on how we progressively get back to that going forward. Turning to Page 10. You've got the usual analysis here of the Greggs cost base, which emphasizes just that people costs and food and packaging are the 2 biggest areas. The good news here is that we expect a much less inflationary year ahead in 2026. We saw 5.6% cost inflation in 2025. We expect that to be close to 3% in the year ahead, which is a real change from the last few years when obviously, inflation has been a real headwind. Food & packaging will be part of that. We expect that to be a very low single-digit figure for the year ahead. And we've got about 4 months of our food and packaging needs covered. Energy is obviously quite a volatile market at the moment. We're pleased to say we've actually got all of our electricity covered for this year, and that is the vast majority of our energy mix. And we've got more than half of it for next year as well. So we're in as good a place as we could probably hope to be given the current environment. The main thing we were exposed on is diesel costs, which is about 1/8 of our overall energy mix. So it's relevant, but not a big factor. People costs are the biggest part of the cost base and were very inflationary last year with a combination of bigger increases in the national living wage and obviously, the national insurance pass-through as well. So we saw just over 8% wage inflation or wage cost inflation last year. We expect that figure to be close to 4% this year, a balance of the pay award, which we've made and also some annualization of that national insurance increase. And there's a phasing impact here as well because we've negotiated to move our annual pay award. The majority of it will bite in April now. It's previously been aligned with the calendar year in January. That helps us to align more with the National Living Wage increase going forward. But it means that we'll have relatively low wage inflation through Q1 of this year. So there is a kind of a balance factor in terms of when cost inflation comes in this year. We think that will help the first half result, and we do expect to see relatively strong profit progress in the first half. We've guided that for the year as a whole, we expect that to be a relatively flat year because we've got the cost of the new Derby site coming in the second half. So there's a bit of trading off there between H1 and H2. And then the final piece on shop occupancy costs, rents are relatively stable as a cost ratio. And there is some benefit from the changes to business rates. So you'll be aware that in the budget, there was a change made to benefit small shops. We believe that, that will benefit Greggs on an annual basis for about GBP 4 million from April, so GBP 3 million to the current financial year. Sticking with costs on Slide 11. We obviously work each year to try and reduce our costs and to offset the cost pressures through our cost reduction initiatives. And we have a good track record in this, and 2025 was the best year ever in that respect. So we took about GBP 13 million out of the business through our cost initiatives in 2025. I thought it was worth just giving you a bit of color on the sort of things that we've been doing. The retail area is obviously where most of our cost is. And in that sense, using sophisticated workforce planning tools is a key element to make sure we deploy hours optimally in our shops to make sure we get the right balance of service and cost. So we've been putting a new plan called in, which has been very effective. We've been using technology to automate non-value-adding tasks and increase the speed of service. And some good examples of that are new tillware. And I hope some of you, if you've been to Greggs recently, will have noticed that the actual experience of paying at the till is actually faster, and I've certainly experienced that with our new tillware and our new payment terminals. Temperature monitoring is a huge task in our shops to make sure that we keep everything food safe, and it's a very manual process currently. So we've got some interesting experiments going on with automated monitoring, which we think will really help the business going forward. In supply, the game there is really taking advantage of the fact that we own our own supply chain to do end-to-end reviews, which make sure we optimize the route through our supply chain all the way from our suppliers through to shops through our distribution and manufacturing operations. And by making sure we get the right packaging and ingredients in the right sizes, they flow through really efficiently, we get a real cost advantage. So we're constantly looking at how we optimize that. We've been in-housing some of our manufacturing where we've had additional capacity come on stream that's allowed us to do that. And looking forward, there'll be more opportunity for automation as the new sites in our distribution chain come online. And the offices have a role to play as well. So in our support teams, technology is starting to help us with automation on desktops, new systems for customer and shop support, which are making the whole process more productive. It's meaning our teams can cope with the growth in the business without adding more resource. And increasingly, AI tools will support that even further going forward. Let's talk about CapEx now on Slide 12. So you can see the peak year for CapEx in Greggs, GBP 287 million that we invested in the business last year. And if you look year-on-year, you'll see that the retail side of that in terms of new shops, shop fitting and equipment was relatively stable. We had a comparable amount of activity in terms of opening shops and refurbishing them. But the big difference was in the supply chain, where we invested GBP 147 million across our operations, including the new sites to create capacity for the future. There was also a step-up in IT, where we're putting in the upgraded SAP system, the S/4HANA version, which is going well, and we got the first elements of those -- that installed in the summer. If I turn to the forward look on Page 13, I think this is the interesting piece. So if you look beyond this year, we've got a substantial decrease in the amount of capital expenditure from this year onwards. So CapEx reduces to around GBP 200 million in the current year and then reduces further, and we've given a range of GBP 150 million to GBP 170 million from '27 onwards. And in looking again at the CapEx program through this phase, we obviously kind of came in under the guidance last year. We've looked hard at the out years as well. We've taken about GBP 20 million, GBP 25 million out of the capital intensity looking forward here. And the interesting thing in the backdrop to this slide is if you look at the gray sort of shadow behind, that's the operating cash generation of the business. And you can see how essentially last year, we were utilizing all of that in terms of the CapEx investment program. But as we go forward, a huge gap emerges, which is effectively the free cash position that will give us discretion. Obviously, that has to fund the ordinary distributions in the business, but we start to see some quite substantial headroom as we go through next year and onwards, particularly. So scope for further returns, as Roisin indicated at the start of this. Page 14 talks about our shop estate expansion and a quick reminder first of the sort of metrics we use to manage our expansion against strong return rates. So we look for a target return rate of 25% cash return on the investment that we put into both our shop and the supply chain that supports it. And we typically achieve that after 2 or 3 years and the shops go on to achieve a mature performance in excess of 30% on an ROI basis. And generally, the growth locations that we're moving into are outperforming the traditional estate. And we talked in the summer a lot about incremental growth and why we were not concerned about cannibalization. And just to reiterate some of the key points that we talked about then. In new catchments where we're landing shops, 53% of our shops last year were in areas where there was no existing Greggs within a mile. So we are pushing into areas where people just don't have access to Greggs. And even in those areas where there was a shop within a mile, the recorded level of sales transfer from the existing state was less than 5%. And we factor that into the shop appraisal to make sure that when we make the decision, we know it's still going to make an incrementally good return for the business. And that was proven again in 2025 with the look-back test on cannibalization. And the other great measure we have is by using the app data. So we can see from the app data that the frequency of visit for Greggs customers increases when you give them access to more shops in new convenient locations. And we ran some data that we showed you in the summer. We've rerun that again at the end of the year. And again, it confirms the incrementality of the visits and the increase in frequency that we see when we become more convenient. I mentioned ROCE earlier, and Slide 15 talks a bit about the levers that we'll be pulling to restore ROCE over the years ahead. Obviously, that estate growth is absolutely key because growing the estate to utilize the capacity that we're creating is one of the most important elements of that. So it's great to see that we're still getting those strong returns and that, that white space exists. We'll be accessing that both through our own estate growth and through the partnerships with franchise partners that give us access to areas we couldn't otherwise get to. We'll be disciplined on capital allocation. And you can see we've trimmed the CapEx a little bit. We'll hold that as tight as possible going forward while still making sure that we maintain and invest in the business. But we're in a position where we've deployed an awful lot into the supply chain, and we've got that capacity there to use. So it will reduce the amount that we need to invest in the years ahead. And as I've described to you, we continue to explore further cost saving and productivity opportunities. The team are enthused by the success and want to drive that even harder as we go forward. And then finally, obviously, there's an element which is driven by the market and performance in that. But also, we have additional income streams that we've been pushing and accessing. You've heard about the Tesco development that we put in place in the autumn of last year. That will be a more material factor in the year ahead, and we've expanded the reach of that into more stores. Roisin will talk to you a little bit about some of the stuff that we've been experimenting with in terms of convenience retailing, where we've been looking at some concepts, which will help us to access smaller locations that can't support a Greggs store with both automated and manual sort of vending solutions. And there are other things in the background that we're not quite ready to talk about that we've been working on, which we believe will also leverage the Greggs brand to drive additional income in the years ahead. So more on that to come. So packaged together, we still are targeting and pushing ourselves to get that return back to where we [indiscernible]. Just finishing off then with balance sheet, tax and dividends. The cash is in a decent position despite the big investment phase we've been through. I mean the cash inflow of GBP 273 million is a real strength of the business at the operating level. The net cash position at the end of the year was GBP 46 million. That was supported by GBP 25 million drawn from the revolving credit facility. So we actually had about GBP 70 million in cash. And we've got liquidity of GBP 146 million with the remaining undrawn element of our RCF. So plenty of room should it be required. And a quick reminder of our capital allocation priorities. Number one, invest to maintain the business well, keep that strong balance sheet, and we target about a 3% of revenue cash position just to deal with the seasonality through the year. an attractive ordinary dividend that's 2x covered by earnings, and you'll see that we've maintained that again this year and then selectively invest where we see attractive returns for growth. And then finally, of course, return any surplus cash to shareholders. And that could be special dividends. It could be buybacks when we get to that point. We're open-minded about that, and we'll make that decision based on what's the best route for that cash at the time. And finally, just the figures to finish off on tax and earnings. The corporation tax rate, I flagged earlier was slightly higher. It's about 1% higher than we would normally expect, and that relates to the allowability of deductions relating to share options. And the fact that the Greggs share price was lower meant that the deduction you get for tax itself on share option exercises was itself lower. So that's a temporary thing. And looking at our forward guidance, we still believe that being about 1% ahead of the headline rate is the right way to model the tax rate for Greggs going forward. So overall, the underlying EPS was 122.8p, and we've declared a final ordinary dividend of 50p, which gives you 69p for the full year, and that's maintained at the same level as in 2024. And as I just indicated, we look for an earnings cover of 2x. And as we get back to that level, the dividend will grow again. So as a quick roll through. I'll hand you over to Roisin to take you through the plan.
Roisin Currie: Great. Thanks, Richard. So I'll spend a few minutes, and I will talk about the operational and strategic review for the business. So on the slide behind me, you have just got the Greggs formula for long-term success. So I just want to reflect on the things that have made and continue to make Greggs successful. And these are particularly important when the market is tough because they differentiate us from other brands and they're integral to the strength of the business. So the first factor on the slide is the breadth and choice that we offer our customers, enabling them to shop with us frequently. And this isn't just about product range. It's also about the flexibility we have to operate in so many different locations and channels and be convenient and accessible to customers when they are on the go. Next is our value leadership. And we pride ourselves in this, and we have got a long-term track record of being #1 for value for fresh prepared food and drink, and that hasn't changed. It continues to be a key focus area, and we remain #1. Innovation and rapid evolution is, of course, key because food tastes and drink tastes change over time. We work hard to ensure we stay relevant and constantly innovate to drive profitable sales growth. And we've got a strong track record of this for many years, innovating to meet changing needs, dietary trends with great value options, demonstrating us now being #1 in the out-of-home market for breakfast and #2 for coffee. Our focus on spotting trends and then following them fast with great value price points continues. And finally, our vertical integration drives quality and efficiency that is a genuine competitive advantage versus the market. So let me talk through those areas in some more detail. So we are the fastest-growing brand in food to go. So in terms of market context, the slide in front of you is from Circana data. So it demonstrates the strength of the Greggs brand across all of the key dayparts and missions. And I'm pleased to report we're #1 in breakfast. We're #2 in lunch. We are #3 in snacking, and we are now #4 in dinner and in delivery. So you can see how strong Greggs continues to be in the traditional areas of lunch, breakfast and snacking. But I'm particularly pleased that I can show you is moving up the rankings later in the day and on delivery areas that, as you know, we've been focusing on. As I said earlier, our market share has grown from 8.1% to 8.6%, the fastest growth of any brand in food and the go. And at the bottom, you can see in terms of the segments that we represent in terms of the demographics, when you compare the market share of visits with Greggs share of visits, we are pretty much in line with the market, having broad appeal across all demographic sets is another great strength of the brand. And on to value. Value leadership remains critical for us. We remain market leading with the gap to our food to go competitors widening. You can see that in the chart. So that plots the YouGov data over the past 4 years, and Greggs is the yellow line at the top. fresh prepared food and drink, the hot options we provide and the customization we offer ensures we are differentiated from other value operators such as the supermarkets. We also know that our loyalty scheme and the value deals that we offer continue to deepen the value for customers when they shop at Greggs. And on Slide 22, we're just looking at the estate, and we have shown you this chart before, but it just demonstrates how the business has been evolving over the last decade to reshape and move into the new catchment areas with different customer missions, ensuring we are well positioned to be more convenient for customers on the go. Now if you went back 10 years, then the traditional element of the state, which is the blue -- the blue sort of segment and mainly on high streets, that would have accounted for around 80% of our total shop estate. And as you can see, it is now 50%. In the traditional estate segment, our relocation strategy has been key to our continued success, and we've relocated around 15% of those shops since 2019, making sure that now they are in the best locations. We do treat those relocations as new shops, so they don't appear in terms of the growth in our like-for-like numbers. And in the underrepresented catchments, the new shops that we're opening expand our reach and continue to deliver strong returns. Our target for this year is around 120 net new shops, which is the same as last year. And just to bring to life the underrepresented catchments, so these are areas such as roadsides, retail parks, supermarkets, travel locations, given the estate greater balance and accessing new locations with strong returns. We demonstrated last year, and Richard talked about it earlier in terms of our summer presentation, these new shops do so without affecting sales in the existing estate, so it's incremental growth. The chart on the slide demonstrates the significant expansion opportunity we continue to have. So the blue bars on the slide show our current penetration. And as you can see, with the exception of industrial locations, no other location has yet reached 25% penetration. Our successful expansion strategy continues to target these areas where we currently have that low penetration, most typically remote from our current shops. So again, Richard talked about last year, over half of our shops were opened with no Greggs shop within a mile. The planned openings for this year have a similar profile. And worth saying in terms of the numbers on the right of the chart, the white space work that we've done in terms of viable locations reflects the opportunity for our full-size Greggs shops. But we continue to be agile in terms of our formats. So the format flexibility we have and expanding further will unlock opportunities that our smallest full service operations are simply not able to access. The trial of our first 3 bite-sized shops is early days, but promising. And we have some further trials planned very shortly, which will unlock other opportunities with strong returns. And as Richard says, the innovation doesn't stop there. So we continue to come up with more innovative ways to make sure that we can provide the convenience for our customers to unlock additional customer missions. So we are looking at some unattended retail solutions. unattended retail solutions is the new word for vending. So we have a number of trials that are in the pipeline currently that we will talk to you about as we embark on those trials. But format evolution is complemented by increasing the channels and dayparts that customers can access Greggs through, as you will see on the slide. Richard mentioned it, but we updated last year that we increased our range in Iceland, and we also expanded into Tesco. We started when we talked to you last year with 800 larger Tesco stores. We have just expanded into a further 1,900 Tesco Express stores. Pleasing to say that delivery continues to grow. So it's now at 6.8% of our mix. And we know that these are incremental sales and they deliver a higher basket size. We are now working on some improved technology that will mean we can support this channel better and grow further. And loyalty, I think I said numerous times before, continues to surpass our expectations. So now over 26% of our transactions are scanned through the app, and that allow us to increase our CRM engagement with customers. We've been doing something called Greggs Quest. We rolled that out to all of our customers in November. And really, that's challenges that encourage the customers that rewards their visits and encourage them to come back to us more frequently. Evening, very pleasing to see, still remains our fastest-growing daypart. So it's now at 9.4% of our sales with evening delivery still being a significant growth opportunity. We continue to be really pleased with the steady growth that we're seeing in the evening daypart. We're still growing ahead of the average like-for-like rate, and it's very similar to the long-term growth pattern that we established at breakfast. And at the heart of Greggs is our range. So our menu sits at the heart of Greggs, and we win by delivering on our purpose, making great tasting, freshly prepared food and drink accessible to everyone. This translates to democratization of food on the go. Rapid evolution of value-focused menu options is key to meeting consumers' changing tastes and requirements. As I've shown you earlier, Greggs is a brand with broad appeal. We are representative of all demographics, and we don't over-index significantly in any one segment. Dietary trends have always been a key factor in the evolution of our menu and the breadth of choice that we offer. And we've worked hard over many years to ensure that we have choices available for everyone throughout the day. Our performance continues to be driven predominantly by the broader macroeconomic pressures on consumer spending, but we do monitor developments around weight loss medication closely. Consumers on this medication still seek convenient food on the go, and we're already catering to a number of those dietary trends. So the demand for fiber, higher protein and smaller portions, which forms part of a much wider health trend. We have introduced last year a number of products such as our Ginger and Turmeric shots, our protein shakes, our egg pots, and we've seen strong growth in those high-protein items that we offer. But we continue to evolve the menu. We continue to make sure we keep it fresh, we keep it relevant, and we excite customers with new products and new flavors. Some examples would be the Tanduri Chicken Pizza and the Red Pepper Feta and Spinach Bake. And as you would expect, we have a pipeline of new ideas and innovation to ensure that we continue to evolve the range and provide the new exciting products that our customers want. So not sure of any of you in the room are matcha fans, but we have just introduced to the menu a couple of weeks ago, our Ice Match Latte at very affordable price point of GBP 3. So if you haven't tried it, you should rush out to Greggs and get one. The breadth of choice that we offer and our ability to enter new categories at value prices enables and ensures that we stay relevant, excite our customers with new choices, focus on market trends and support the expansion into the new channels and dayparts that we offer. And then on to our supply chain, which I have spoken about many times, but to support our growth plans, you know that we have invested in further supply chain capacity, primarily the 2 new state-of-the-art national distribution centers, creating overall logistics capacity of up to 2,500 shops. Both sites are on schedule and on budget with Derby on track to open later this year and Kettering in 2027. This approach to capacity expansion benefits from productivity improvements from automation, enabled by the scale of our operation at those sites. By picking upstream, the new sites increase the throughput and capacity of the existing radio distribution centers, which will still continue to serve our shops. I won't spend too much time on technology because Richard has covered a number of these areas, but we do continue to invest in technology to enhance our growth while ensuring the robustness of our process and driving greater efficiency. As Richard just said, we have successfully migrated our finance and procurement processes to the new SAP S/4HANA system from August last year, and we've got further migration in some key areas this year. Richard also talked earlier about the tasks we're automating in our shops to support service and efficiency, which is really important and the CRM capability for our support teams that has AI functionality. So our support teams can now use that to serve both colleagues and customers better and faster. And last point in the slide, our data capability continues to improve, which supports all areas of the business and helps us make better decisions. But we continue to pride ourselves in doing the right thing with significant progress on our commitment to the Greggs pledge, which is our approach to ESG. Our original commitments that we set out took us through to the end of 2025. So we spent a lot of time last year engaging with a broad range of stakeholders to shape the future priorities for 2026 and beyond. Really proud to say we made a significant progress across all the areas of our Greggs pledge. On the slide behind me, you've got a number of highlights. Great progress on reducing our carbon footprint, reducing unsold food waste through our Greggs outlets and making progress in ensuring that our packaging is easily recyclable for our customers. We're retaining the 3 core pillars of our Greggs pledge, stronger healthier communities, a safer planet and a better business still see at the heart, and we're now launching our next 5-year pledge commitments. So finally, looking forward now into 2026, we have a strong pipeline of opportunities to open new Greggs shops in catchments that will deliver strong returns. Great progress has been made in building the supply chain infrastructure for this next phase of growth. In a challenging market, we continue to deliver both like-for-like and total sales growth and make great progress against our strategic plan. Our like-for-like growth for the first 9 weeks has been at 1.6% and total sales have grown by 6.3% with strong cost control supporting profit progression. Our expectations for 2026 are unchanged, and we remain confident in the growth opportunities available to Greggs and our ability to progress them. So on that point, I will just pause and then Richard and I will be happy to take your questions. And we have got a couple of roving mics in the room. And I think Richard is also going to monitor questions from those of you that are online. So thank you, and I will take your questions.
Roisin Currie: We have got a couple of roving mics in the room. And I think Richard is also going to monitor questions from those of you that are online. So thank you, and I will take your questions. I'll start from over here.
Jonathan Pritchard: Jonathan Pritchard from Peel & Hunt. Two from me for me. Firstly, I think I try to remember whether a call or a meeting. But you talked about clarity on deals and marketing those deals better. Could you just tell me how you progressed on that and whether there's a sort of slight difference between franchise and owned stores in those deals and the communication. And then secondly, on current trading, just a bit on shape really. I was surprised I didn't see the word weather and rain in the statement because clearly, that is something you hate way. Is there any change there since you still running, has it got a bit better? Just any additional comments, please?
Roisin Currie: Thanks, Jonathan. I'll let Richard take kind of traded and I'll come back to market.
Richard Hutton: Yes. So I think the weather has been bad on bad really, hasn't it? Clearly, as you'll have noticed, particularly in the South of England, it was an incredibly wet January. And -- but we had storms last year, and we had snow last year. So I think we've had sort of bad weather in both elements. I think the key thing to call out in the trading so far is that there is less price inflation in the number. So the underlying volume position is very consistent with what we saw in Q4 running into the first couple of months of this year, but with less pricing. And we hope that, that puts consumers in a better place as we go forward.
Roisin Currie: In terms of the deals that are out there and the marketing, I'm just looking to my right absolute with some of the sort of marketing -- what we did last year very successfully is we continue to lean into breakfast. When I talk about market share moving from 8.1% to 8.6% we've taken market share across every single day part. So that is really pleasing. What we did know is that we had a 2-part lunch deal, and we could see that in the marketplace, a common sort of feature of deals was a 3-part meal deal. So we then went back on our big deal, which was the GBP 5 3-part meal deal. We obviously do that through a lot of out-of-home marketing. So that's probably the biggest sort of way we try to reach the consumer. So if you're on the high street, you see a bus shelter somewhere with the point of sale, we will try to have the Greggs message there. The other significant piece of marketing collateral we have is the digital screens in our windows. So again, they are up and down across the U.K., and we will work them hard to make sure that we punch above our way in terms of getting those big deals out there. The new piece for us last year was in our app. So for our customers, we introduced a sort of at home part of sort of an app sort of communication messaging as part of the app. And so now if you're an app customer, you will see the messaging coming up around what is the new products that we're launching. Our most recent one was the matcher, which we know we brought to the market at a value sort of leading GBP 3. But what we've not lost focus on is the 2-part breakfast deal as well because, again, that is a key part of offering value to the customer. So what the marketing team trying to do very successfully is lean into the new deals, but they have an always-on strategy to make sure that what we are known for and what is value, we also get that message out there. In terms of your question around franchise, the deals are the same. So I guess we reach customers, it doesn't matter to a customer, if it's a franchise shop for a company managed shop, they are shopping at Greggs and therefore, we want to make sure that they get the same messaging. The one difference that you have in a franchise shop is price points because obviously, they set their own price points, and we've got some ceilings around that. But again, the team will work for that franchise partner to make sure that the digital screens are used to reach customers with that value offering. And even in a franchise location, we will still be the best value operator by far in that location.
Richard Taylor: It's Richard Taylor from Barclays. I've got three questions, please. Firstly is on your 20% ROCE target. Even with fixed capital employed, that would imply profits quite long way ahead of where people are expecting any out years now. I know you're not saying in 2028, but how should we think about the lift there? Is that utilization of supply chain? What other things should we think about? Secondly, how should we think about your pricing this year with a 3% like-for-like cost inflation? I know you moved at the start of the year, you done now, would you expect to move again. And finally, you've historically held a cash buffer, which you still have. But when we look forward, your slide on CapEx, Richard, what do you think about your plans for cash in FY '27 and FY '28 is a buffer that you still would like to hold in those out years as well?
Richard Hutton: Yes. That sounds like my tear sheet, doesn't it? It also allows me to address a couple of the points that have come in online actually, which are also about that cash position. So Joseph, if you asked about capital allocation, I think you probably asked the question before I presented on capital allocation. So hopefully, you're happy on that. Simon, you asked about debt on the balance sheet, which I think links to Richard's point. So we had about GBP 25 million of debt on the balance sheet. We've actually repaid that since, but we'll probably draw some more down from the RCF when we pay the dividend in April, May time. So we'll be using the RCF through the next year. I suspect we probably won't need to use it next year onwards. And Simon was asking what's our forward plan in terms of is it structural debt or is it not? It's not. I think, again, the capital allocation policy hopefully explained that, that we're looking for about 3% of sales as our sort of our cash buffer to manage working capital. The RCF is our reserve to enable us to weather any storms and we put in place after the pandemic. And I think it's a super important thing to have in place in case there was something like that again. Pricing, we're in a great place with pricing because we did make the increases. Most of what we need to do for this year, we anticipate is already in place through the moves that we made in January. So we'll see how cost inflation pans out through the middle of the year, but I'm kind of cautiously hopeful we don't have to do much more. But there may need to be some small tweaks. But generally, we're in a decent place already in terms of recovery of cost. And then the broker journey, I think you should see as a longer-term ambition. We obviously had a sort of perhaps a nearer-term plan for that before the experience of last year that set us back a bit having negative volumes last year. We'll have to work a little bit harder on both revenue streams and on cost to get us back to that target. So certainly not thinking about it in terms of 2028. And so I think probably the point at which we reach it is probably beyond the scope of sort of most of your forecast at the moment. But we strongly believe that effectively, it's a tweak to the plan before with a bit more sort of revenue and a bit more sort of action on cost. And we can see the opportunities.
Timothy Barrett: Tim Barrett from Deutsche. Two questions, please. also. Firstly, what you say on first half versus second half profit growth is nice and clear. implicit within that, are you assuming a pickup in like-for-likes in the second quarter or the next 12 months in terms of just trying to square the circle really how you get profit growth in the first half of that number. And then a quick one on CapEx. Can you say what's implicit within your new 2027 and 2028 guidance on net new stores, please?
Richard Hutton: Yes. Yes. So on that final piece, in terms of net new stores, we're implying that we'll run at broadly the current rate in terms of about 120 net new stores. We're going to hold refits fairly tight this year. So we'll probably only see 50 or 60 refits, about half the number that we did last year, and that's part of the response to the capital intensity at the moment and also a reflection of just the longevity that we've seen in the current refit, which is standing up well. So we'll hold that fairly tight, but expand at a net rate of about 120. I'm going to link into another online question there where Joseph is asking what will the approximate maintenance CapEx be going forward? Typically, we've guided that to be about 5% of turnover. It's probably slightly less than that at the moment because of the investment in supply chain, which will hold us in good stead in the years ahead. So it's probably going to be slightly less than that at a maintenance level and then you layer on that expansion CapEx. The like-for-like question, I think, was about what do we need to strike the right balance in terms of progress in the first half. Yes, we're probably -- I mean, we would be opening, say, 1.6% in the first couple of months was slightly behind where we would have liked to have been. The good news is that the profit conversion has probably been stronger than we'd anticipated, and that's a reflection of both some of the cost margin dynamics that I described but also the fact that we gripped operational costs quite hard in the middle of last year as a response to trading conditions. And we're still carrying that strong position, and it hasn't annualized. So I think with the focus we've got on that in the business in the first half, we should continue to see the benefit, and it gives us a very strong drop-through in terms of the growth that we are seeing.
Roisin Currie: I'll just go right if I just needs to hand the makeover, thank you.
Unknown Analyst: Thank you. Vince Ryan here from Goodbody. I'll just go right if I just needs to hand the makeover, thank you. Fin Ryan here from Goodbody. Two questions from me, please. Firstly, in terms of the supply chain investments, could you outline what you're factoring in, in that incremental cost from Derby in the second half of the year? And as we sort of roll into 2027, how much incremental cost should come on the P&L from -- as Kettering comes live? And just could you also give us a sense in terms of the phasing of sort of the date when sort of everything is in place versus how long it will actually take to get to full operational capacity in terms of distribution centers? And then secondly, in terms of the retail rollout, I appreciate you've got a lot more Tesco stores coming on stream this year for the frozen product. Any thoughts in terms of how incremental that can be to revenues and profits for '26? And any options to go to bring those products into like Sainsbury's or A or the other retailers?
Roisin Currie: I'll let Richard take your question, and I'll take the second part.
Richard Hutton: So yes, the Derby cost will be broadly what we guided previously, which we said about a 40 basis point headwind this year. So if you sort of extrapolate that at current turnover levels, you'll see it's high single digits in terms of millions of pounds net impact on this year. That will then roll over and impact the year ahead as well, at which point we'll start to reduce some of the Kettering costs, but we're then starting to see some of the leverage coming through in terms of utilization of those sites. So that gives you kind of a bit of a clue as to what we expect profit progress in the first half to be because we have said we're holding the kind of the broad guidance that we believe it will be a flat outlook for profit this year with that decent underlying progress in the first half then held back by the increase in costs as those come through. Catering looks like it will be around the middle of next year in terms of its timing. So again, that cost annualizes out in the middle of '28. So I guess we get to the end of '28, having kind of taken the 2 big step-ups in cost through that period. And then we're into that leveraging sort of period going forward where addition of new shops comes at very little incremental CapEx. We're just investing in the retail side of it. And obviously, some of that will be franchise partners, which won't involve capital either. So we start to work it much harder from then on.
Roisin Currie: In terms of your question on where we go in the sort of grocery channel, I think one thing I would say is -- and we've -- we had the partnership with Iceland Foods since 2011, and we know that we have not yet maxed out that partnership. So as we've seen as we've gone with Tesco, actually, we're doing some other new products with Iceland. So that tells you actually, there's more to go with that original partner. I think we've been very pleased with the progress in Tesco as have they. So what we're now doing is we are in discussions with them around how do we maximize the current partnership that we've got. And if you think about it, with our partnership with Tesco, it's not just the grocery chain that we've got that partnership. We also have Greggs within Tesco currently, and we have a pipeline for other opportunities. So I think just now, it's about maximizing those 2 current partners. In saying that, we are obviously in discussions with others, but our focus for this year will certainly be about maximizing the partnerships that we've got in place, which keeps it simple for us and means we can take the learning around what else we could do in the future. I will just come right behind sorry, I will come over to this side of the room in a minute. So we'll go over the other side of the room after your sales.
Gary Martin: It's Gary Martin here from Davy's. Just a couple of questions from me. Just starting off on the cost conversion piece and just dovetailing off of some of the commentary from yourself, Richard. It seems though from Slide 11, it looks as though there's a fairly elaborate plan in place in terms of cost optimization. Would you be able to maybe run us through how much of that is kind of low-hanging fruit or how much of the kind of hard yards are ahead just in terms of how you plan to optimize in the future from a cost base perspective? That's my first question. And then just the second one, just on the market share piece. So I'd just be curious just to get the grips with the base all eating and drinking out of home index that you're using to measure market share growth off of. Does that include some of the retail meal deals, for example?
Roisin Currie: I'll let Richard take your cost [indiscernible] and I'll be back [indiscernible].
Richard Hutton: Should I call it low hanging. That's a good question. I don't want to sound easy. I mean people have to work hard on this. I mean it does involve -- if it was too easy, to be honest, it wouldn't count as part of this sort of objective because it's -- it's about structurally changing the way we do things to make it more efficient and to tackle legacy costs that we don't need anymore. And that's important because there are always new costs coming into the business as well. I tend not to talk as much about that. But when we bridge profit year-to-year, there's always something new that you have to do either from a compliance point of view or to make sure that you are secure and embracing the latest technology. So looking at legacy costs and taking this approach that we do is super important. I think there are things that we can see and there are always new ideas. Sometimes they're inspired by things that people achieve and one group sort of like achieves a breakthrough and others then think, oh, okay, we could do that and sort of learn. So sharing within the business, comparing those with other businesses that we have good relationships with to see what they're doing also helping that. So it's quite a big program. And whilst it might not be dramatic in any 1 year, just by working every year at it and sort of keeping that sort of pressure on and celebrating games, however, small, it sort of just encourages people to keep looking and turning over stones that have been turned over before and because the world changes. And if you look back 5 years, you can just see it's a very different place, isn't it? And the things that you thought were important then may not be as important today. So yes, it's hard to sort of -- I wouldn't call it low-hanging though. I would -- otherwise, it would just be what took you so long. You have to work at these games.
Roisin Currie: On market share, so the Circana data that we use is stated behavior. So that's asking the consumer where do they eat out of home and food to go. So it will include any of the behavior in the likes of the food to go sections of a Tesco, Sainsbury's, et cetera, is included in the Circana data. So -- and it's asking customers on a regular basis, where have they purchased recently, which is the best sort of metric on market share that we've got. So it will have all the food to go specialists in there and it will have the food to go part of the supermarkets in there as well.
Richard Hutton: Just to pass on the mic. I'm going to take an online question, if I may. One from Darren Shirley at Shore Capital. It's traditional at these events that Darren asked me to split out the price inflation and volume aspects of like-for-like and that I refused. But I'm going to shock him today by actually doing it. So Darren says, what's the inflation contribution to the 1.6% like-for-like so far this year. Just under 4% is the answer, Darren. And we had just under 5% last year, so that's the 1% sort of reduction in inflation. So you can see that slightly over 2% was the volume impact year-to-date.
Roisin Currie: So we're coming to [indiscernible] then we will come over to the other side.
Ross Broadfoot: Ross Broadfoot from RBC. Two on the new shops, please. You said 53% of 2025 shops in areas with no existing shop within a mile. Why is a mile a good benchmark? I'm sure that will differ across the estate. There any color you can give in terms of sort of behavior that you're seeing? And then second, you talked about sales transfer of 5%. What's the profit impact? And how quickly would you expect those shops to recover?
Richard Hutton: Yes. It's an arbitrary decision, honest to me. It could have been a kilometer, it could have been a mile, it could have been in 5 miles. But if you think about sort of when you're actually going out for your lunch, would you walk a whole mile? You probably wouldn't, would you because you'd come across something in that. It's a long way. So as a broad measure, and I know there are some other studies that have used that as a broad metric. But it is quite a big -- that's quite a big sort of catchment distance. So we've used that. We actually sort of typically look at sensitivities within more like half a mile in our appraisals to identify shops where we believe there is a risk of cannibalization. But the reality is it depends on the journey the customer is on as well. It's not really -- if you think around here, people are wondering around on foot. That's one thing. If you're on a busy trunk road, then actually a mile might just be a minute of your journey. And therefore, the more relevant thing is actually, are there other options that are accessible from the same road? Or is it taking a transaction from where you're actually going to go at your destination, which we don't always know. So it's complex and none of this is perfect, but really we present this stuff to try and give you some assurance that we do look at it carefully. We do try our very best to avoid the risk of cannibalization. We do this when we're working with partners as well. We have to agree where shops open so that we don't transfer sales between locations. And that will be absolutely true of the new developments that we get into as well, whether that's convenience retailing or other things.
Roisin Currie: Just on that point, just to Richard's point, I guess we're trying to give confidence around providing data points and actually, that's why we've come up with one well. Internally, we actually look at catchments and we look at the customer mission. So if you thought about London in particular and you think about Liverpool Street Station, actually, you've got a Greggs in Liverpool Street Station. You've got about 3 others within local proximity. If you're at the mission of you're a commuter, you do not come out of the station to seek out a Gregg. So we need to be accessible when you're there -- but similarly, if you're out about in food, you wouldn't come into a station to seek out a Greggs. So we need to be accessible there. I think the point around convenience and accessibility are still #1 in the food to go market. And that's why we've got the confidence in the amount of white space and the underrepresented catchments ahead of us. On the other question -- the other part of the question, I think, was the profit impact on the sales transfer of the 5% was the other part of your question?
Richard Hutton: Yes, without pulling out the appraisal. Typically, we would look at it and say, okay, on the sales transfer, it will be like a 50% drop-through. So that will be the kind of the rate of profit cannibalization that we would then factor into the shop that was losing sales from the new shop.
Unknown Analyst: One just on the Greggs apps. I have a number in the past of incrementality and frequency been about presumably that starts to diminish now? And is it still in your eyes accretive given that the tenant product is for free?
Richard Hutton: Yes. That's interesting. We were looking at this just recently because we've -- now that we've got sort of data scientists in the business, we've been able to sort of apply a more technical analysis to this. And my team was starting to form the view, my finance team that this was becoming more mature now and essentially, you shouldn't expect to see quite as much incrementality because it's becoming part of the core offer at Greggs really for a regular customer. Interesting, the data scientists went at the app data and looked at it and came up with an even stronger number than the finance team were. So that said, I mean, it's a tough market with low like-for-likes generally at the moment, isn't it? So we do still believe that it underpins frequency of visit, but it's become, I think, more of an essential as part of your mix really is to have something which rewards the customers who are loyal to you. But -- so if it was driving the incrementality the data scientists are saying, then we'd be sort of shooting off the charts, wouldn't we? And the fact that we're not, I suppose, shows just how important it is in terms of securing the loyalty of your existing customer base. Whether it attracts new customers, that's always the heart of it rather than holding on to the customers you have. But I think it's a super important part of our armory.
Roisin Currie: I think another piece just to add on the app is last year, we had just under another 2 million downloads in terms of customers downloading the app for the first time. I think the team has done a great job. When we started to launch ice drinks, we saw that really resonating with the sort of 18 to 34 consumer demographic that we offered ice drinks as a free that you got for download in the app. We saw a real spike in that. So I think it's constantly making sure that you try and get those customers that currently aren't on the app on to it, then we can communicate with them. We can send them quest, we can drive frequency of purchase still a really important part in the armory.
Unknown Analyst: All right. Great. And then second question, there's quite a lot of quite big moves across the different business divisions. The B2B has seen quite a big step-up in trading profit margin this year. The retail business seems to have seen quite a big step down in the second half, which then is obviously offset by the cost savings that you mentioned earlier. How much of this is -- I'm not regular count, but there's been a change in the value and lease calculations and the CGUs you mentioned. Is there anything to do about going on there that's creating these large swings? Or if you can maybe just aggregate what's exactly going on there?
Richard Hutton: No. I mean just like-for-like, the big factor there. Obviously, we had a bit of a reset in the middle of last year when we had the very hot weather. I think we'd expected stronger like-for-likes last year than actually came through. And increasingly, we became aware that this was very much a market-wide factor. So as you've seen, if Greggs has basically got through last year on a 2.5% like-for-like and taken 0.5 percentage point of market share. Gosh, it must be very tough in other places. So I think it's really just a factor of that, Ben. I mean, the overall impact has been consistent across the business. We have been able to start driving some additional sales through channels such as grocery. But broadly, I couldn't pull out anything that's skewing things from half to half, particularly.
Roisin Currie: I'll ask you to pass the mike up front. Thank you. And then we probably just probably got time for two more questions. We'll take one left side, and we'll get you Andy.
Conroy Gaynor: Conroy Gaynor from Bloomberg Intelligence. So the first one, just looking at your ever-evolving portfolio of new products. Are there any incremental margin mix benefits that we could be thinking about this year and beyond as you roll those out? And the second one, like many companies, as you're going further down this AI data science journey, are there any genuine competitive advantages that you can pick out that you think Greggs would benefit from? For example, is it your scale or ability to leverage the brand? Is it the fact you have a rich history of trading data piece of stats. But how can you leverage that into a competitive advantage.
Roisin Currie: So let me take the competitive advantage one and then I'll let Richard talk about margin mix. I think AI and technologies are really interesting one because I don't think that there's a silver bullet. I think you're absolutely right around there will be opportunity for us to leverage our scale. But if we look at some of the work that we're doing with the support teams just now at Greggs House, it's using in technology that's got AI functionality to then actually move to Agent AI, where actually you are trying to automate a lot of processes. So they sort of mundane and routine of which a business of scale has got lots so you would assume actually that will give us a competitive advantage. I think for us, AI is around -- actually, there are going to be many different strands to this that will actually deliver the advantage. From a supply chain perspective, automation especially with Derby catering, that will be significant for us. And that is why that vertical integration does give us a competitive advantage, especially when we have got on automation in those sites. And then I think from a shop perspective, if you think about our labor cost, it's significant because we are a small box shop model. So therefore, you need people to serve. But we are, to Richard's point earlier, we are looking at lots of the ways that our teams have to do task in those shops. And when they do task, it takes away from serving the customer. So you can't serve the queue as quickly if we can automate a lot of those tasks. Actually in our shops, we believe we can get more volume throughput in terms of those customers and serving those queues. And then I think from a data perspective, our app is where, to Richard's earlier point about our data scientists that we've now got on board, our app is where we do need to mine that data and try and understand the behavior. And because we serve 8 million customers each week, there's a lot of data there that we should be able to mine in terms of 1/4 of those transactions are through the app. So I think it will be many faceted, but it will not be a silver bullet, but there's lots of areas that we have to get after. Margin mix?
Richard Hutton: Yes. I think over time, what happens with margin mix is that things which are -- some things become commoditized. And therefore, you can't command the same strong margin on a pack of crisp because everybody sells one. And the way we kind of protect and drive margins is actually by the value adding in the shops. So the things that you bake in store, the things that you make in the back of the store, the things that -- the drinks and things that you produce tend to be the higher-margin items because you can't -- you haven't got the same, you can't compete with that in a commoditized way. You have to put the effort in. I think the matcher thing is the latest example of that. It's -- despite our keen price point, it's a very high-margin item still. And it's sort of, I suppose, injecting interest into the ice drinks category more generally, which again is high margin as hot drinks have been. So I think that's the way the business evolves over time as it pushes it into new areas which tend to have attractive margins, accepting that there's behind the scenes, some of the older items become more commoditized. And it just evolves over time, and it's always been that way. So directionally, it's interesting. I think drinks, if you were to show the mix of food and drink and Greggs over time, drinks are a much more significant part of the mix and a lot of the innovation is still coming in those areas.
Roisin Currie: So we'll come to Andy, and then I don't know if you want to check there anything online after that. And then I'll need to bring it to a close because I've then got a press call. But Richard will be around indeed for a few minutes afterwards for anything we didn't get to, Andy.
Andrew Wade: Just might be my memory failing, which is quite likely. But just looking back at the market share 1 on Slide 8, your like-for-like versus the market. I'm sure when we looked at that to sort of looked at this a year ago or 6 months ago, you were fairly -- your dotted line is consistently outperforming or as it looks like the sort of last 6 months or so, it's a bit pretty much in line with? Is that a narrative that you recognize? Or am I slightly misremembering?
Richard Hutton: It may be we were using the takeaway in sort of fast food line time. I can't quite recall, Andy. There's two measures which are relevant. One is the takeaway sector and this is a much broader one. Typically, we've outperformed the takeaway sector more strongly than the overall measure, but we felt, look, the overall sort of eating and drinking out of home is probably the fairest measure of the totality of the market. and a more stable line because the takeaway fast food sector tends to be quite promotionally driven. And you see quite big spikes, which don't really teach you much in terms of your comparative performance. So I'd have to check back, but I suspect that's the answer.
Andrew Wade: Okay. Second one then, sort of thinking about your recovery in ROCE, which is effectively, I suppose not going to have a massive change in the capital base, effectively, recovering in EBIT margin. Can you do that if you continue to have negative like-for-like volumes?
Richard Hutton: Well, it makes it harder, doesn't it? We -- in our core plan, we assume that the market continues to stay tough for a while yet. We don't assume that it's going to kind of fix itself in a few months. So we've taken a multiyear view, but we also assume that the market will stabilize in time and this sort of like economic pressure that people have been under will get easier. And I think the first signs of that are this easing of inflation. And I genuinely hope that this is the start of an improving cycle in terms of people being under less pressure. In fact, the government have been confident enough to reduce the rate of increase of the living wage, I think, is indicative of that and hopefully gets us to a place where we are in less inflationary times.
Andrew Wade: Just on the, I guess, a similar point. So we've now sort of had negative volumes for, I guess, 18 months, maybe a bit more than broadly 18 months. So we've annualized through negative volumes, negative volumes on negative volumes. So is your view that now that effectively the consumer sort of step down but continued deteriorating? Is that how you're viewing it?
Richard Hutton: A little for now because we can't see a reason not to carry on with that assumption. And it's prudent to plan on that basis because then you don't overplan your cost base. So we try and plan on a cautious, prudent basis with some sort of cautious optimism that we've maybe been a bit too prudent. Particularly, I think in the coming year, it'll be very interesting to see what happens in June and July when we had very, very hot weather last year. I mean having now it may happen again, of course. And that's the basis we plan on, but hopefully, that might give us a little bit of upside.
Roisin Currie: And what I would say is we're doing a lot to try and disrupt that and make sure we find reasons for the consumer to come into us. So actually match is a really good example of that. We've already leaned into ice drinks. Match has another demographic. So then we're leaning into that, but at a value price, and there'll be more on the menu that we'll do this year. So I guess it's how do you continue to bring that excitement, use your app, get the consumer message out there and you can start to try and buck that trend. So there's loads in our armory that we deliver this year. So on that note, I'm probably going to bring us to a close. And thank you for your time today. What I would say is I do need to run a press call to go to, but I am sure Richard and Dave will be around if there's any other questions, but thank you, and thanks to those online.